Operator: Good morning, ladies and gentlemen, and welcome to the Cousins Properties First Quarter Conference Call. [Operator Instructions]  This call is being recorded on Friday, April 26, 2024. 
 I would now like to turn the conference over to Pamela Roper, General Counsel. Please go ahead. 
Pamela Roper: Thank you. Good morning, and welcome to Cousins Properties First Quarter Earnings Conference Call. With me today are Colin Connolly, our President and Chief Executive Officer; Richard Hickson, our Executive Vice President of Operations; and Gregg Adzema, our Chief Financial Officer.
 The press release and supplemental package were distributed yesterday afternoon as well as furnished on Form 8-K. In the supplemental package, the company has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accord Reg G requirements. If you did not receive a copy, these documents are available through the quarterly disclosures and supplemental SEC information links on the Investor Relations page of our website, cousins.com. Please be aware that certain matters discussed today may constitute forward-looking statements within the meaning of federal securities laws, and actual results may differ materially from these statements due to a variety of risks and uncertainties and other factors including the risk factors set forth in our annual report on Form 10-K and our other SEC filings. 
 The company does not undertake any duty to update any forward-looking statements, whether as a result of new information, future events or otherwise. The full declaration regarding forward-looking statements is available in the supplemental package posted yesterday and a detailed discussion of some potential risks is contained in our filings with the SEC. 
 With that, I'll turn the call over to Colin Connolly. 
Michael Connolly: Thank you, Pam, and good morning, everyone. We had a strong start to 2024 at Cousins. To summarize, we delivered $0.65 a share in FFO, which beat Street consensus, and we raised our full year guidance. We reported same property net operating income growth of 6.6%. We leased 404,000 square feet with a positive cash rent roll-up of 5.3%. This marks our 40th consecutive quarter with a positive cash rent roll out. We ended the quarter with net debt-to-EBITDA of 5.25x, which is among the lowest in the office sector. 
 Importantly, as Gregg will mention in more detail, we received a BBB debt rating from S&P and a BAA2 debt rating for Moody's. Both are solid investment-grade ratings that significantly enhance our access to capital and financial flexibility. These achievements highlight the strength and resiliency of our leading Sun Belt lifestyle office portfolio and best-in-class balance sheet. 
 Before discussing our priorities at Cousins, I will start with a few observations on market fundamentals. First, the return to work and lifestyle office properties continues to accelerate. Many employers continue to require greater office attendance. Since just last quarter, UPS, NCR and Truist have all announced a 5-day week in-office policy here in Atlanta, more are likely to come. As a result, our parking garages are filling up and demand for our space is increasing. Second, there remains little customer or capital demand for the oldest CBD towers or suburban commodity properties. 
 As a result, office vacancy is highly concentrated in a small subset of buildings. According to JLL, just 30% of office buildings comprise more than 90% of the overall vacancy across the country. These properties will stagnate until they are repriced and then either repurposed or torn down. The process has already begun. Third, new supply is shutting in. The math for new development just does not work in today's higher cost and higher interest rate environment. Not surprising, groundbreakings have fallen to all-time lows. 
 As a result, the overall inventory of office buildings in the United States is contracting just as leasing begins to improve. Much like the retail sector last decade, market forces are rebalancing the office market in real time and there will be divergent outcomes. Lifestyle office will thrive with improving demand and reduced competition, while the lowest-quality commodity office disappears. 
 Turning to the capital markets, asset level debt and equity for office remains limited and expensive. As a result, the investment sales market is soft. Conversely, the public markets show signs of improvement. Liquidity has grown and spreads have tightened, especially in the unsecured debt market. We hope this is a positive early indicator. Cousins remains very well positioned as the cycle improves. Today, we own the premier lifestyle office portfolio in the Sun Belt, our lease expirations through 2025 are among the lowest in the office sector. 
 Our balance sheet is undoubtedly the best in class. Our strategy has proved resilient, even amid the disruption from the COVID pandemic and the impact of higher interest rates. Strategically, our team remains focused on driving earnings growth through leasing and investments while enhancing our geographic diversification, mitigating future large lease expirations and maintaining our financial strength. 
 Let me highlight a few of our key priorities. First, we intend to drive occupancy back to stabilize levels in the intermediate term. As you know, the office business can be lumpy, so this metric can bounce around from quarter-to-quarter due to a large move-out or a large commencement. The Bank of America exploration in Charlotte next year is an example of this. However, on a multiyear basis, we are optimistic that we can return occupancy in our portfolio back to normalized levels. 
 The return to office, Sun Belt migration, flight to quality and the flight to capital are all secular trends that will support our efforts. We have multiple competitive advantages, and we plan to grow market share. Second, we intend to allocate capital thoughtfully and accretively on a stabilized basis. We have a track record of identifying creative investment opportunities and funding them with the most efficient sources of capital, debt, equity, property sales and JVs. 
 As I mentioned earlier, liquidity and pricing is more advantageous in the public market today relative to private financing. This creates a compelling environment for a REIT like Cousins. Near term, acquisitions appear more likely than development, we will remain focused on Sun Belt properties that are or can be repositioned into lifestyle office. We are in active discussions with several owners and lenders and are evaluating opportunities across the capital stack. Medium and longer term, the development of market-leading lifestyle office and mixed-use projects will remain a key part of our growth strategy. 
 Our development and redevelopment projects will be meaningful contributors over the next few years and highlight the value of our development platform. In closing, there are many competing forces in today's market. However, we built cousins to thrive during all economic cycles. And today, we are in a strong position relative to other office companies. We are in the right Sun Belt markets, we own a true lifestyle portfolio with modest near-term lease expirations. We have a fortress balance sheet with minimal near-term debt maturities and great access to capital, and we have a well-covered dividend. 
 I believe we have a unique opportunity and optionality in front of us. Before turning the call over to Richard, I want to thank our employees at Cousins who provide excellent service to our customers. their dedication, resiliency, consistency and hard work continue to propel us forward. Thank you. Richard? 
Richard Hickson: Thanks, Colin. Good morning, everyone. Our operations team had a fantastic start to the year, delivering another great quarter. Before walking through our operating results, I want to provide an update on WeWork. As a reminder, we have four WeWork locations totaling 169,000 square feet in Atlanta and Charlotte, representing 1.1% of our annualized rent.
 Our expected outcome at each of the locations remain substantially unchanged. At this point, we have completed the modification of our WeWork lease at Terminus in Atlanta which reduced the location size by 1/3 or 24,000 square feet and restructure the rent obligation. We are actively working to do substantially the same thing at 120 West Trinity in Atlanta where we are a 20% owner and expect to come to complete that modification shortly. At our 46,000 square foot location at 725 pots in Atlanta, we are still electing not to negotiate with WeWork and anticipate the week will be rejected. Interest in that space from traditional office users remain strong. Last, we still expect WeWork will assume the rail yard lease in Charlotte without modification. As a reminder, we have meaningful letters of credit supporting the leases at both 725 pots and 120 Western. 
 Now on to our results. For the first quarter, our total office portfolio weighted average occupancy and end-of-period lease percentages were 88.4% and 90.8%, respectively. Our lease percentage was essentially unchanged relative to last quarter, and our occupancy increased by 80 basis points as the increase was driven largely by the commencement of Apaches expansion premises at Briarlake Plaza in Houston. Looking forward, with WeWorks giveback spaces soon to be fully vacated and the recent long expected move out of NASCAR at 550 Southeast Charlotte, we expect occupancy to move slightly lower in the second quarter. 
 However, with our favorable 2024 lease expiration profile and over 500,000 square feet of signed new and expansion leases set to commence during the balance of this year we expect occupancy to remain relatively flat in the second half of the year. Importantly, we are projecting our occupancy to end the year higher than at year-end 2023. During the first quarter, our team completed 37 office leases totaling 404,000 square feet with a weighted average lease term of 7.1 years. I'm very encouraged that this quarter represented our highest level of signed activity in -- since 2020. 
 Further, 25 of our completed leases this quarter were new and expansion leases, representing a solid 71% of our activity on a square footage basis. I would also note that expansion activity alone accounted for an impressive 24% of our total activity. We believe this highlights a broader market dynamic that companies appear increasingly confident in expanding their office presence. This quarter, among the customers that renewed or expanded with us, we recorded a collective net expansion of 95,000 square feet, and this included eight unique expansions and only one contraction. With regard to lease economics, second-generation cash rents increased yet again in the first quarter by a healthy 5.3%. 
 Our average net rent this quarter came in at $36.6, the third highest quarterly level in our company's history. This quarter, average leasing concessions, defined as the sum of free rent and tenant improvements were $9.25, which were higher than what we posted in 2023. Despite that, our average net effective rent this quarter came in at $24.20, essentially in line with our full year 2023 results. For some perspective, our average net effective rent in 2023 was the highest in our history with the exception of only 2021, which included the full building weeks for Domain 9. At the market level, our Neuhoff mixed-use development in Nashville once again contributed to quarterly activity where we completed a 31,000 square foot office lease with a leading law firm. We are also in lease negotiations with two additional office users both strong names in the professional services sector totaling 51,000 square feet. We continue to be encouraged by the leasing pipeline of Neuhoff and the project's unique competitive position in the national market. 
 In Atlanta, the team signed 229,000 square feet of leasing this quarter, which included some important expansions. Notably, we completed an early renewal and expansion of Workday at our newly redeveloped 3350 Peachtree, with Workday more than doubling in size to 113,000 square feet. This represents an important validation of Atlanta and specifically Buckhead as a top place to attract and retain great talent. At Promina Tower in Midtown also newly redeveloped, we were thrilled to complete a 23,000 square foot expansion of Deloitte, increasing their footprint by nearly 25%.
 In Charlotte, we signed 31,000 square feet of leasing in the quarter, all at our Fifth Third Center building in Uptown. As a reminder, Bank of America occupies 317,000 square feet of that building and has shared that they would prefer to locate Charlotte corporate employees and properties owned by the bank where possible. Based on that, we view the bank as a probable move out at their expiration in July of 2025. Fifth Third Center has timeless architecture, a great presence directly on try on Street and Uptown and excellent acces and parking as a complement to those strengths, we are moving forward with plans to reenergize this property with amenities and upgrades similar to we have successfully completed at projects across our Sun Belt portfolio. 
 Feedback in the market regarding our redevelopment plans has been very positive, and we are excited about what the future holds for this project. Our Phoenix team completed 66,000 square feet of leasing this quarter, including a 34,000 square foot new lease with Pulte Homes at Tempe Gateway. Once again, a great example of strong demand for well-amenitized and newly redeveloped lifestyle office space. This demand only increases our excitement around the redevelopment of our Hayden Ferry project also in Tempe. 
 This redevelopment is now well underway and includes a total transformation of the entire exterior hardscape and landscape, two of the three building lobbies and amenities and also the addition of a new stand-alone restaurant. Interest in Hayden Ferry overall continues to be strong, but especially in the 200,000 square foot availability at Hayden Ferry One created by the departure of SBB Financial. 
 Overall, our leasing pipeline continues to be healthy, and we are encouraged by the trends we are seeing as the year has progressed. The early stage leasing pipeline, namely initial inquiries and tour activity is especially encouraging. Having noticeably increased just in the past 30 to 60 days. As always, early stage demand typically takes multiple quarters to translate into signed leases. I also want to note that because we have so few expirations through 2026 and therefore, likely lower renewal volume to complete, this could translate into lower total volume in any given quarter in the near term. 
 Before closing, I want to reiterate another important market dynamic that Colin has already touched on. That is the growing scarcity of new office development. Per JLL, 7.8 million square feet of new office space was delivered in the first quarter, the lowest volume of completions in the past several years. 
 And in the first quarter, we saw less than 300,000 square feet of office construction starts nationally, the lowest in nearly 40 years. As we continue to see an increase in demand for the highest quality lifestyle office product, this shutdown of new office supply should prove very beneficial to owners of the best existing office product. As always, I want to thank our talented operations team whose skill and hard work have us off to a great start to the year. We look forward to continuing the momentum together during the balance of the year. Gregg? 
Gregg D. Adzema: Thanks, Richard. Good morning, everyone. I'll begin my remarks by providing a brief overview of our results, spending a few moments providing some detail on our same property performance. Then I'll move on to our capital markets and development activity, followed by a discussion of our recently assigned investment-grade credit rating before closing my remarks with an update to our '24 earnings guidance. 
 Overall, as Colin stated upfront, our first quarter earnings were solid, and the economics behind them were encouraging. Second-generation leasing spreads were positive. Leasing velocity was excellent during a seasonally slow period and same property year-over-year cash NOI was strong. It was also a very clean quarter. There were no unusual or nonrecurring items of note. Focusing on same-property performance for a moment, we added two properties to our same-property pool during the first quarter, $100 million in Phoenix and Heights Union in Tampa. And this pool now comprises 97% of our total NOI. 
 These new properties have an average age of only 3 years and average gross rents of almost $50 per square foot. With these additions, we continue to improve the quality of our core office portfolio. Looking at the quarterly numbers, both same-property GAAP and cash NOI increased 6.6% compared to last year. This continues a string of positive same property numbers that began in early '22. And importantly, this quarter represents our best same-property cash performance since the second quarter of 2021 and our best of GAAP performance since the second quarter of 2017. 
 Before moving on, I want to point out the continued positive trend in parking revenues we saw during the first quarter. Overall, total parking revenues were up 10% compared to the first quarter of last year. A strong sign of performance, which continues to exceed our internal forecasts. Turning to our capital markets activity. In January, we entered into a fixed interest rate swap on the remaining $200 million of our $400 million term loan maturing in March 25. With this swap, the entire term loan is now fixed at an underlying SOFA rate of 4.48% through initial maturity. Looking at our development activity, the current pipeline is comprised of a 50% interest in Neuhoff in Nashville, and 100% interest of Domain 9 in Austin. Our share of the remaining estimated development costs is $66 million, which will be funded by a combination of our new hot construction loan and our operating cash flow. 
 Before discussing our updated guidance, I wanted to take a moment to highlight the assignment of an investment-grade corporate credit ratings from Moody's and S&P. Subsequent to quarter end, Moody's assigned a Baa2 rating and S&P assigned a BBB rating to Cousins Properties LP. Both agencies distributed the write-ups yesterday, so their full thoughts in our credit ratings are available online. Overall, both agencies discussed the quality of our lifestyle portfolio, highlighted by above average rents, healthy occupancy and modest near-term lease expirations as well as our strong balance sheet, and conservative financial policy. 
 In the near term, these ratings allow us to receive more favorable pricing on our $1 billion credit facility and $750 million in outstanding term loans. At our current debt ratings, this saves us about 12 basis points in interest expense. On a longer-term basis, these ratings provide us with another important option to access the capital markets as we execute our strategic plan. 
 I'll close by updating our '24 earnings guidance. We currently anticipate full year 2024 FFO between $2.60 and $2.67 per share with the midpoint of $2.63. This is up $0.05 per share from the original guidance we provided in February. The increase is primarily driven by higher parking revenues and termination fees. The increase in termination fees is due to a customer at our North Park property in Atlanta with a lease expiration in '27, notifying us of their intent to move out in early 2025. 
 We didn't provide notice until March, so the impact on our first quarter results were immaterial. Concerning WeWork, although negotiations continue, the math is generally settled and included in our guidance. We believe there is no downside risk in our assumptions and a small upside potential. Our guidance remains clean. There are no significant onetime nonrecurring items and no property acquisitions, property dispositions, development starts or capital markets transactions. If any of these do take place, we'll update you accordingly. Our guidance also continues to not include any payment of our unsecured claim in the SBB bankruptcy case which we currently estimate to be just under $10 million. The exact amount and timing of recovery against this claim is not yet known, but unsecured SBB bonds are currently trading around $0.50 on the dollar, so we anticipate there will eventually be significant value in this claim. 
 Bottom line, our first quarter results are excellent, and we are increasing our earnings guidance. We now forecast full year positive FFO growth in '24, a rarity among public office companies. Our best-in-class leverage and liquidity positions remain intact and we have added one more valuable tool to our capital markets toolbox. 
 With that, let me turn the call back over to the operator. 
Operator: [Operator Instructions]
 Your first question comes from Blaine Heck from Wells Fargo. 
Blaine Heck: So you guys had a strong start to the year from a same-store NOI perspective, with 6.6% in the first quarter. And I know you guys aren't going to give guidance, but I guess just directionally, how should we be thinking about the rest of the year? And any color you can give on the drivers of same-store as we progress through 2024 would be really helpful. 
Gregg D. Adzema: Sure. The biggest driver of NOI on a same-property basis during the first quarter was increased occupancy in Austin, at [ $300 million ] Colorado, Colorado Tower and San Jacinto. And we had some free rent burn off at $100 million in Tempe. On top of that, we had some timing of lower real estate taxes. And so you rolled all that together, it added up to a really strong first quarter that won't replicate itself for the balance of the year, but the numbers will remain positive for the balance of the year. 
Blaine Heck: Great. Second question, Colin, last quarter, you talked about a goal of getting above 90% occupancy in the intermediate term. I think you said stabilized this quarter. you hesitated to put a more specific time line on that, which is understandable. But just a couple of questions there. Has anything changed with respect to your view of the timing on that goal? Especially with the upcoming termination at North Park? 
 And just generally, does that stabilize or 90% goal include all of the properties in your portfolio, excluding Neuhoff and any other ground-up developments you may start? Or is that exclusive of renovation or redevelopment properties, too, like Hayden Ferry and potentially Fifth Third when BofA comes out? 
Michael Connolly: No, Blaine, nothing has really changed at all with our goal to drive occupancy back up to stabilized levels. And you mentioned a 90% metric. I mean, really, our goal here at Cousins is to drive that back up to more normalized levels of past cycles, and we've reached occupancy as high as 92% to 93%. And given the quality of the portfolio that we own, the repositioning that we have done and the strength of the markets that we're in, we're confident that we can do that. It will likely be a multiyear process. 
 We've got some ultimately, you always have some gives and takes. We've got a larger expiration next year, but we also have a significant amount of signed but not yet commenced leases but over time, given the strength of our lifestyle Sun Belt portfolio, we do believe that we can push occupancy back to normalized levels. And as those developments and redevelopments stabilize, those will certainly help our efforts to get back to those normalized levels. 
Operator: Your next question comes from John Kim from BMO Capital Markets. 
John Kim: Just given the strength of parking on your results, can you just provide more color on what percentage of rental revenue comes from parking and maybe the components of the 10% increase this quarter, how much of that was occupancy versus rate driven? 
Gregg D. Adzema: John, it's Gregg. So I think you're right to point out that the best way to look at parking as a percentage of total revenues versus in an absolute basis. Our portfolio has changed pretty dramatically over the past few years. In the first 2 years of the COVID pandemic '20 and '21, I mean we sold almost $1.5 billion worth of properties and reinvested half of that in our development pipeline and half of that new acquisition. 
 So the composition of the portfolio has changed pretty dramatically. So the best metric to kind of compare today versus pre-COVID is as a percentage of total revenues. And when you take a look at that, pre-COVID parking represented between 7% and 8% of our total revenues. Today, it's a little over 6%. So we think there's still a little room there. 
 That's not to say we're going to get back to exactly 7% to 8% going forward because, as I said, the composition has changed. But we're certainly not exceeding it. And that 6% that I just gave for the first quarter has worked its way up over the past couple of years. I mean, it bottomed out somewhere around just, I think, just under 5%. So we've been grinding it up slowly every quarter. And as I mentioned in my prepared remarks, we've exceeded our internal expectations almost every quarter. So it's a positive trend. Remind me of the second part of your question, John? 
John Kim: I was just wondering as far as further upside, is that going to be rate driven? Or can you continue to drive occupancy higher? 
Gregg D. Adzema: The improvement that we've seen in parking is a combination of both rates and volume. And the mix is probably, give or take, 75%, 25 %, 75% volume, 25% rate. 
John Kim: Okay. That's helpful. And then on occupancy, how do you see that progressing in 2025? I mean you gave really good numbers around this year. Next year, you have 8.5% expiring. You mentioned [indiscernible] is likely to not renew Time Warner's looks like that's expiring as well. But how do you basically see occupancy if there's any early indication of how that goes next year? 
Michael Connolly: John, it -- we're going to all provided 2025 guidance. But as I mentioned, we do have a multiyear goal to continue to push occupancy upwards to more stabilized levels. And we do, as I said, have a handful of expirations that will provide a small headwind. But again, I think the quality of those properties as we reposition and redevelop those. As we look over a couple of years, we feel like we can start to drive that occupancy to more stabilized levels. 
John Kim: I guess maybe a better way to ask that is, how much of that 8.5% do you think are going to move out? 
Michael Connolly: Well, again, there's one specific discrete expiration of over 300,000 square feet. So that will obviously skew the overall retention level, but we've had pretty strong consistent retention levels over the last couple of years that you would expect given the quality of the lifestyle properties that we own. 
 But that specific move out will provide a bit of a headwind. But again, we've got great plans to reposition that property and begin the lease up. And I think that will allow us as we get towards the end of 2025 into 2026 to perhaps after we take one step back, hopefully, two steps forward. 
Operator: Your next question comes from Anthony Paolone from JPMorgan. 
Anthony Paolone: If maybe I just -- if I could ask one just related to that last question, John talked about. As it relates to the BofA space next year, given the redevelopment plans, will that come out of service, the space or the building? Just like should we even think about those being in the occupancy stats? 
Gregg D. Adzema: Tony, we're still finalizing our redevelopment plans there. So give us a little bit more time to finalize it what you know. But we're going to be -- as we've been all along, we're going to be transparent. We're not going to try to hide anything. If we pull it out of service and we do a significant redevelopment, we will. We haven't gotten to that point in the redevelopment plans yet to make a decision. 
Anthony Paolone: Okay. Got it. Then just Gregg, staying on you. You got the IG ratings now. Anything contemplated on that front in the near term? Or is there anything that you're thinking about in guidance to give you room to do something on the public bond side? 
Gregg D. Adzema: So yes, we're really pleased with how that came out considering the overall macro environment at the moment. But we did it as a proactive step. We've had the same balance sheet for the past decade at least. So we haven't not had an investment-grade rating because we couldn't get it. We haven't had an investment-grade rating because we didn't feel like we're in a position to advantageously use it. 
 But we are now, and that's why we proactively got it. Even with no impending debt maturities. As Colin said in his opening remarks, we really have got a lot of optionality in our debt maturity schedule right now. No significant maturities until the summer of '25. And even then, we've got enough capacity in our credit facility if we had to -- to really push the first refinancing out to the summer of '26. That's not to say that's what we'll do, but we've got the optionality if need be. What this investment-grade rating gives us is the ability to be very opportunistic and to pull the trigger quickly when the capital markets present an opportunity, and that's what we intend to do. 
Anthony Paolone: Okay. And if I can just sneak one in for Colin. You've talked about just the idea of opportunities emerging out there for a little while now. Just any further color on what you think a transaction might look like if it's something going in with a high current yield or an asset that needs to be turned around or geographically, just any other brackets on what seems to be emerging would be helpful. 
Michael Connolly: Yes. I appreciate the question, Tony. I'd say we've got a, I'd say, a very clearly defined strategy here at Cousins to invest in high-quality lifestyle office in the Sun Belt that either currently is or can be repositioned in the lifestyle with a, I'd say, a very clear focus on driving accretion in our financial results and ultimately complementing the existing lifestyle portfolio that we have. .
 So we're out looking at a lot of different opportunities. I'd say we are certainly in this environment, applying our creative instincts to look at all sorts of transactions as I mentioned earlier, across the capital stack. But ultimately, our focus will be on lifestyle office within the Sun Belt and with a focus on near-term accretion. 
Operator: Your next question comes from Camille Bonnel from Bank of America. 
Camille Bonnel: Nice job on the investment-grade ratings. Gregg, I believe each quarter, you reset your budgets against the sulfur curve, just given how much the curve has shifted and uncertainty around the timing for the next rate cut. What are you factoring into guidance today? And how much of an impact did that have with your update? 
Gregg D. Adzema: Thanks, Camille. It's a great question considering the volatility that's happening in the short end of the curve right now. So we, at the beginning of the year, as I explained in the last quarterly conference call, we were using the Fed dot plots in our forecast. And so -- at the beginning of the year, the Fed had 3 rate cuts in 2024. 
 As you know, the Fed meets next week and [ ads ] are probably change that. But we've gone ahead and kind of proactively changed our internal assumption to rate cuts with calendar year '24. That being said, we only have -- we're low levered to begin with and then 15% of our leverage is floating rate. So the impact on that in calendar year '24 is minimal. For example, if they had no rate cuts for the balance of the year, that would only impact our earnings by about $0.05. 
 So not significant at all. And a lot of the -- I think that other companies have struggled with that change in assumptions where they've assumed more rate cuts and those rate cuts haven't come to fruition when we obtained the investment-grade debt rating, as I mentioned in my prepared remarks, it had a positive impact on the pricing grid for the floating rate debt that we do have, the term loans and the credit facility. So really, they offset each other. And that was one of the reasons that we didn't have any impact on our guidance from a reduction in the assumption around rate cuts for the balance of '24 because it was offset by a better pricing grid. 
Camille Bonnel: That's very helpful. I understand it might be early in the process, but what kind of downtime are you expecting on the space at North Park? How do you feel this building its position in its submarket? And is it something that can be easily marketed or need some CapEx? 
Michael Connolly: No. The space up at North Park is really terrific space. It was relatively recently built out for an innovative tech company. here in Atlanta. And so that space shows terrific -- effectively move-in ready if we were to find the right user. And just for a little bit of a broader perspective on North Park that sits in the central perimeter, it's right at a great highway intersection with MARTA access the property. There has been a large highway improvement project just outside our front door for the last 3 to 4 years. And that project is now ramping up, and I think that will position North Park really well the space is terrific, and we already have the opportunity to get out there and start showing that space. 
Camille Bonnel: And I just wanted to ask on the lease expiration front, since you don't have much more to address near term, but 2025 has picked up for the factors you highlighted. Are your leasing teams seeing any shift in tenant mindset to push forward on early renewals? Or are people still waiting until the last minute before they make decisions? 
Michael Connolly: Yes. Great question, Camille, we are starting to see some shift in the mindset of our customer base. And I think that's very encouraging, and it's certainly encouraging as we think about occupancy in 2025 and moving into 2026, which a lot of decisions today will really impact that time frame. But we are seeing more I'd say, particularly large companies that had been on the sideline now starting to think about their long-term real estate needs. And I think doing so with a view that they're going to be in the office more often than not. So that has been a very positive trend. And we're also seeing some signs of life from an in-migration perspective, companies once again considering moves typically hubs or large regional offices once again in the Sun Belt and I'd say one other trend that we've taken note of over the last 60, 90 days as some companies that we had leased space with over the last 12 to 24 months who had perhaps contracted now coming back and looking for more space as their return to office efforts hit a positive inflection point. 
Operator: Your next question comes from Steve Sakwa from Evercore. 
Steve Sakwa: Not to beat a dead horse here on the occupancy. I know Richard had said that occupancy would be flat in the second half, but that occupancy year-end '24 would be above '23. I just want to make sure. Are you talking about spot occupancies or average occupancy that I don't think you guys disclose spot occupancy. So just making sure I understand kind of which metrics you guys are talking about exactly? 
Richard Hickson: Yes, Steve, this is Richard. That would be weighted average occupancy as we report occupancy versus in the period is how we are spot is how we report our lease percentage. 
Steve Sakwa: Got you. Okay. And then maybe, Colin, there was news that Oracle is moving its headquarters from Texas up to Nashville. -- that site that they have is directly across the river from your Neuhoff project. I'm just wondering, are there any near-term benefits from that move? Are you seeing maybe other derivative benefits potentially from them coming into the market? And the tenants that you did talk about that you've got leases out for, are those existing Nashville tenants? Or are those new-to-market tenants? 
Michael Connolly: Yes, great question, Steve. And obviously, we were thrilled to see the announcement from Oracle earlier this week that they would indeed in time, make what had already been announced is a large regional hub in National. Their global headquarters and that project sits just across the Cumberland River from our Neuhoff project. And they are, in fact, going to start construction on a pedestrian bridge over that river to connect directly into the downtown Neuhoff side of Nashville. 
 So I think that's going to be a huge positive for Cousins, a big positive for Neuhoff. And we are starting to see some of those derivative benefits. Oracle's move has been underway for multiple years. And we are seeing more potential customers, professional services companies, in particular, as well as other health care-oriented investment firms look to locate themselves in close proximity to Oracle. And I think the leasing that we're doing right now and underway are going to be in the direct benefits of that recent announcement. 
Operator: Your next question comes from Nick Thillman from Baird. 
Nicholas Thillman: Richard, you touched on 500,000 square feet of signed leases yet to commence. I was wondering if we could get an update on like timing of when those leases are going to commence and is that inclusive of Domain 9 and for Domain 9, like sort of move-in timing? Does that kind of just be pro rata equally weighted through 2025 first quarter stabilization? 
Michael Connolly: Yes. So the $500,000 in 2024 is weighted mid 3Q of this year. But it does not include domain remaining phases because those both occur or commence in 2025. 
Nicholas Thillman: That's helpful. And then maybe just touching a little bit on new-to-market kind of requirements. You guys touched on it already a little bit, but what markets are you seeing the most activity for tenants looking to enter these markets? And are there any of that a little more sluggish? 
Michael Connolly: It really is, I'd say, consistent across the Sun Belt. We're seeing examples really in all of our markets of companies moving from places like the West Coast minute -- excuse me, the Northeast and in the Midwest into places like Texas and Arizona, Georgia, North Carolina. It is pretty consistent. I'd say it's very encouraging. While there are announcements like Oracle moving a global headquarters, I'd say, what we're seeing more predominantly our regional hubs like the Workday announcement here in Atlanta where they went from approximately 50,000 square feet to 100,000 square feet in very short order. 
 And I'd say a lot of that is the same themes that we've been discussing here at Cousins for the last 10 years. It's the quality of the workforce in the Sun Belt, the low cost, the ease of doing business. And after a little bit of a pause during the last 12 to 24 months, we're starting to see that rebound. 
Operator: Your next question comes from Brendan Lynch from Barclays. 
Brendan Lynch: Gregg, maybe you could go into a little bit more detail about the same-store expenses. They were, I think, down year-over-year where most of your peers are facing tax increases and insurance headwinds. So maybe you could just give us a little bit more detail on what you're seeing in your portfolio. 
Gregg D. Adzema: The largest driver to the same-property expense number this quarter was property taxes and inside of the property tax line item, the largest component was Texas property taxes. And if you recall, I think it happened in the third quarter of last year, they put on the ballots a reduction in the property tax rate in the state of Texas, and it passed overwhelmingly. 
 And so we had up until that the time of that vote, been accruing at the old tax rate in Texas, as soon as that would happen, we accrued to the new tax rate in Texas. And so the year-over-year comps last year's first quarter old tax rate, this year's first quarter new tax rate. And so you had some adjustments. If you pulled out property taxes in total from our same property performance in the first quarter, that 6.6% cash number turns into a positive 5.4% cash on a year-over-year basis. So it had an impact, but it was not the sole impact. And we still had a really good quarter even without that property tax adjustment. 
Brendan Lynch: Great. That's helpful. And should we think about any other potential tax adjustments in the second through fourth quarter of this year? Or is it just in the first? 
Gregg D. Adzema: No. The biggest impact by far was in the first. 
Brendan Lynch: Okay. That's helpful. And maybe could you also talk about tenant improvements per square foot. It looks like those increased fairly significant amount year-over-year. Just any color that you can share there would be helpful. 
Richard Hickson: Sure. Yes, the TIs did increase versus last quarter, certainly versus 2023. I'd say the context with that -- in this particular quarter, we did accomplish a lot of leasing in first-generation kind of shelf space. And at Neuhoff, obviously, some of that new development activity showed up. And those tend to be higher per square foot. Per year TI packages. But otherwise, we view TIs and concessions is hopefully stabilizing at this point on a broader basis. 
Operator: Your next question comes from Dylan Burzinski from Green Street. 
Dylan Burzinski: Just, I guess, on the acquisition pipeline today, are you starting to see more opportunities arise? And I guess, just as you sort of think about the near-term pipeline, I mean, did you guys expect to start to see capitulation on behalf of sellers? Or do you expect this to sort of be an elongated process? 
Michael Connolly: Well, I think it's already been an elongated process to date, and I'd say that's fairly typical of most cycles. But we are starting to see, I think, more actionable opportunities. And as I said, the overall property sales market has remained a bit tepid, but we are starting to see some signs of life in the debt market, which I think is a catalyst. 
 And I also think the recent pickup in leasing activity, which ultimately requires leasing capital to be another catalyst for transactions. And so they are becoming, I hope and believe more actionable in the near term. And again, at Cousins, we're going to continue to apply our kind of creative skills to source and find opportunities that could be very traditional in nature as well as some that are a little less traditional but all again, with a focus on investing in Sun Belt lifestyle office and with a priority on near-term accretion, if possible. 
Dylan Burzinski: And as you guys sort of think about markets, I mean, is there a potential to put capital to work in that you're not currently in? And if so, how do you guys kind of think about that process, would it require higher going-in yield to sort of make that decision? 
Michael Connolly: We're going to stay focused on our Sun Belt markets. Again, I think the -- we believe that there are long-term secular trends in-migration trends that will continue to favor the markets that we're invested in. So we'll stay focused within the Sun Belt there's a market or two within the Sun Belt that we're not invested in today that we continue to monitor. 
 But I also think as we look at the company more broadly, we do want to continue to enhance our geographic diversification within the Sun Belt. And so certainly, there are some markets like Dallas and Charlotte and Nashville and Tampa and others that over time, we'd like to increase our exposure to those markets and are very constructive on them long term. 
Operator: Your next question comes from Upal Rana from KeyBanc. 
Upal Rana: Richard, could you give us some color or details on the leasing pipeline you mentioned in your prepared remarks, any numbers or any types of tenants or general demand commentary would be helpful. 
Richard Hickson: Sure. It continues to be healthy across the board, frankly, Atlanta has been a great outperformer for us for a while now, as you know, and it continues to be really solid. But the only thing I'd point out is that Austin continues to be slower, but we are seeing maybe not on a square footage basis, but certainly in the number of transactions in our pipeline late stage for certain in Austin is improving. So still soft there, but overall, broad-based, and there isn't really one industry that I'd call out at this point that's driving the lion's share of our pipeline, it's well diversified. 
Upal Rana: Great. That was helpful. And Gregg, could you give us some color on will get you to the high end or low end of your guidance. Any moving pieces or timing in particular, that gets you to either in? 
Gregg D. Adzema: Sure. We tightened the range. So now that we're 1 quarter into the year, there are less moving pieces. But as we sit here and look at that, as is often the case, the two things that [indiscernible] and it's unique to our company at all our interest rates and leasing assumptions. And in both instances, we've got -- I've already talked earlier in this call about our interest rate assumptions. And we obviously have some leasing assumptions as well. And I believe that they're on the conservative end of our typical range of leasing assumptions. So we don't see a lot of risk in the range that we've provided, but those are the two biggest moving pieces inside that range. 
Operator: And there are no further questions at this time. I will turn the conference back over to Colin Connolly for closing remarks. 
Michael Connolly: Thank you for joining us on our first quarter earnings call. We appreciate your interest in Cousins Properties. If you have any follow-up questions, please do not hesitate to reach out to our team. Have a great weekend. 
Operator: Ladies and gentlemen, this concludes your conference call for today. You may now disconnect your lines. Thank you.